Daniel Sundahl: Good morning, ladies and gentlemen, and welcome to TOMRA's Second Quarter Result Presentation 2023. My name is Daniel Sundahl, and I'm Head of Investor Relations. And with me today, as always, I have our CEO, Tove Andersen; and our CFO, Eva Sagemo, who will take you through the highlights of the quarter and dive deeper into the numbers. After the presentations, we will open up for Q&A, and you can post your questions in or through the embedded Q&A tool in the webcast. But without further ado, I give the word to CEO, Tove Andersen.
Tove Andersen: Thank you, Daniel, and welcome from me as well to our Q2 2023 presentation. This quarter, I'm very pleased to see that we are continuing delivering on our growth ambition with record high revenues in all three divisions. And at the same time, we are lifting our margins, our gross margin in line with expectations. This quarter was especially good for Collection and Recycling and I think for Collection, this quarter shows the robustness of our current operations and portfolio opportunities as we are continuing delivering strong growth and strong profitability, even though that we have a delay in the Scottish market. Recycling is continuing the good momentum we have seen now for many quarters. And I would like to say that I'm really impressed by the Recycling organization on how they're able to execute on this growth. One thing is to get the orders in but actually to deliver organic growth like this quarter, 26%, it needs to be produced, delivered, installed and optimized at our customer sites, and I'm very pleased to see how the organization is handling that. Food had a good quarter. However, as we talked about in last quarter, we have seen a weakening market sentiment, and we are taking actions to addressing it. So let's then move into the financial highlights. As I already said, we had an all-time high revenue in all divisions. So the revenue ended up on NOK 3.9 billion, that is 14% up currency-adjusted. Recycling being the strongest with 26%, but 14% in Collection and 4% in Food and Food is comparing to a strong Q2 2022. Our gross margin ended up on 42.5%. So that is 0.6% versus same quarter last year and up 2.3 percentage point versus Q1 this year. I'm especially happy to see that we are continuing to lift our margins in the Collection business as we are working our way through the last frame agreements that we had in place before the surging prices, inflation and the component shortages. The margins in Food for the quarter is slightly lower than Q2 last year due to product mix, but also then remember that Q2 last year was a strong quarter for Food. On operating expenses, we ended up on NOK 1.1 billion. We are continuing to invest in our business, both to deliver on the growth that we are experiencing now, but also to position ourselves to future growth and deliver on our strategic ambitions. Our run rate now on ramp-up costs in Collection is NOK 250 million and our run rate on TOMRA Horizon portfolio is NOK 80 million. If you then adjust for currency and inflation, our operating expenses has been flat over the last nine months. This gave us then an EBITA of NOK 536 million, up 22%. Our cash flow in the quarter was NOK 41 million. And the main reason for having relatively weak cash flow versus the EBITA is that a significant portion of our sales in this quarter came in June. This means that we have increased our accounts receivables significantly. It's up NOK 605 million compared to last year. However, this is not a concern as the majority of this will then come in as cash during Q3. On order intake, Recycling had a very good order intake, but at what we will call more normalized levels at 16% currency-adjusted. We have talked a few quarters now that we expect Recycling to come back to a bit more normalized growth level at a significantly high growth levels for a period and we see that in this quarter, but still very strong growth and giving us an all-time high order backlog of NOK 1.4 billion, which, of course, position Recycling very well for the rest of the year. Food order intake was down 18% in the quarter compared to the same quarter last year. However, that was an all-time high. However, we do see a weaker market sentiment, especially in the Fresh Foods segment and that has then given us a reduced order backlog in Food and is now at NOK 1.1 billion. We also had a couple of exciting announcements linked to our TOMRA Horizon portfolio in the quarter. One linked to feedstock and one to reuse, and I'll come back to that later in the presentation. Let's then move into the business update. In TOMRA, we have an ambitious strategy to really deliver on our vision to lead the resource revolution. And our strategy is to accelerate growth in core and develop adjacent opportunities, while becoming a fully circular business ourselves and a safe, fair and inclusive place to work. By doing that, we will double our business within the next five years and lift our EBITA margins to a target of 18%. Our dividend policy and our ambitions on an investment-grade capital structure stays firm. And also, we will then, as part of this, delivering on our roadmap and pathway to net-zero through our sustainability strategy. Let me then start with an update on our core. And when we talk about core in TOMRA, we talk about our three existing divisions: Collection, Recycling and Food. And I'll start with Collection. As I already said, this was a good quarter for Collection. An all-time high revenue of NOK 1.952 billion, getting close to NOK 2 billion and also, what I said that I'm extremely pleased about is that we're able to do this at the same time as we are lifting our gross margins again this quarter, and we are now back to a level which is the highest since 2021. The growth this quarter has mainly been driven by new markets or new deposit schemes. We have in the quarter seen then sales started in Hungary, as Hungary is now preparing for a go live early next year. We have seen continued good sales to the Netherlands, which expanded their deposit system earlier this year with cans, more than doubling the container volumes in Netherlands through that. And we have seen increased sales into Romania this quarter as also Romania is getting closer to the go-live date in November this year. Low light in the quarter was definitely the delay of the Scottish deposit system. It's always disappointing when this happens, especially so close to a go-live date. We are taking then actions linked to that and are currently in the process of downsizing our Scottish operation, as now the new indicative or the earliest indicative date for Scotland is a go-live late 2025. But also what I said in my introduction, which is really shown in this quarter, is now the robustness of our Collection business that we are not dependent on a single country like Scotland to be able to deliver good financial results. On the right-hand side here, you will see the normal overview we give on new markets, new deposit markets that are in process of go-live or where a decision has been made. I'm not going to go through all of these as many of them are the same as we had in last quarter, but I wanted to make a couple of comments. First of all, I think it shows the list of countries that are in the pipeline, and it shows that we have then a very high activity level now positioning ourselves for these markets, which is then also reflected in our ramp-up cost. Another thing I want to highlight is that last quarter, I talked about Singapore, you will see now that we have added Uruguay. And it's nice to see that we are getting countries outside Europe, outside Oceania and North America on this list. Uruguay communicated in the quarter that they are progressing with the plans for deposits system and commencement target date is now end of 2024. It's a small market, but similar to Singapore, being a good flagship for Asia. Uruguay can be a good flagship for Southern America. We also got some good news last night. Poland is also in the process of approving a deposit law. They had the third reading in the Parliament yesterday and voted over the proposal, and it was then passing the Parliament with a very broad support from the politicians. That's an important step in Poland. There is still a few more steps before the legislation is finalized. It will now go to Senate, but there is an important milestone that has been passed in a significant potential market for TOMRA. Then let's move over to Recycling. All-time high quarterly revenues and order backlog. Again, this is driven by the move towards circularity, both driven by commercial reasons and by legislation. This quarter, we saw good growth both in Asia and in North America, and it was especially the Waste Sorting segment, which was strong in the quarter. Order intake growth, as I communicated, strong at 16%, but back to a bit more normalized level. We have had periods now with above 20% increases, which we have said we don't think will be sustainable going forward, and that's what we see in the quarter. So this is as expected. Also, we have included again in this quarter, the graph with recycled PET prices versus PET. Some of you missed it in last quarter. So we put it in again. The trends there are what we are seeing for a few quarters now. Overall, prices are going down, but the margin between recycled PET and virgin PET stays firm, which are really confirming the demand for recycled material. A highlight for us in the quarter was that we now had a commercial launch of our AUTOSORT PULSE. This is then the sorting for alloys and is a laser-induced based spectroscopy, where you shoot lasers on each individual material or fraction and through that, you can then sort aluminum on different alloys. Why is that important? It's important to be able to not down-cycle it, but actually then have a high purity so you can recycle into the same type application as it had in the past. And aluminum is a material that is very well suited for recycling and you save 95% of the energy if you recycle aluminum versus primary production. So what is special with our AUTOSORT PULSE because there are other LIBS systems out there? It is this combination of high purity, so kind of [acrux sorting] and high capacity. So the purity level we can achieve is above 95%, which means that it can be directly remelted and not downgraded. And then thanks to how it is designed with the in-feed and the combination of sensors, we can then offer a really high capacity throughput that meet industrial production standards. So a very exciting development and is a good example on how we will drive additional growth in the Recycling division through using the innovation to develop new segments. Then over to Food. The Food division delivered a good result in the quarter, and this was driven by the Process Food segment and especially the Potato segment or category that I also talked about at the last quarterly presentation. So especially that segment performed again well this quarter. But also, as I talked about in last quarter, we started then to see a weakening in the Fresh Food segment and that has continued. For certain categories, that segment has been challenging since late last year due to weather conditions causing them a bad harvest, and this again delaying investments. However, we also noticed in general, a more -- or we also noticed a general impact due to the challenging macro environment. So uncertainty related to future crop prices, combined with higher interest rates, delays investment decisions. This does not alter overview on the mid to long-term outlook for this segment, but we expect a challenging situation short term. We are accelerating our improvement agenda and the focus short term will be less on positioning for future growth and more on streamlining current business. And we have taken steps to adjust the cost base due to this. In addition, as some of you might have noticed, I have done a leadership change. I'm very pleased that Harald Henriksen, who has been heading the Collection division has accepted taking on the position as EVP for Food. He brings with him strong execution skills, combined with great people and team-building capabilities, and he has a strong track record of delivering good results. So I'm confident that he is the right person to take Food through the next period. We are currently working on an updated improvement agenda for Food division and we will provide you updates in one of our next quarterly presentation on the revised plan. So that was the update on our core, but also as part of our strategy, it's about developing adjacent opportunities. So also, I wanted to give a brief update on that. So just first to recap what is this really about? This is about how can we take advantage of the mega trend linked to circularity to resource optimization, utilizing our 51 years of experience in this space, our technology, competence, relationships, et cetera, to really build new businesses for TOMRA. All initiatives here are business building. So this is not R&D, and all of the initiatives to select for this portfolio should have the potential to become a new leg of TOMRA. So it needs to be a sizable business opportunity. We call this umbrella or the portfolio of initiatives, we call that TOMRA Horizon. Today, we have three initiatives running, one linked to closing the gap in plastic recycling, one on systems for reusable packaging and one on closing the loop on textiles. Today, I will give an update on the plastic and the reuse initiative as we have had the announcement linked to that during the quarter. But before I dive into that, I just also wanted to highlight the legislative push that is supporting the initiatives that we have in this portfolio. As you all know, there is, in general, a move towards a stricter legislation to push circularity. And EU is a frontrunner in this. Currently, EU is running a consultation on an updated packaging and packaging waste regulation. The proposal was launched last year, and it goes now through consultation. As part of that proposal, there are proposed stricter targets both on recycled content and on reuse targets. On recycled content, you can see the current proposal here, and it doesn't then only cover beverage containers, but also other packaging. And you see the targets for 2030 is in the range of 30% to 35%, going up to 50% to 65% in 2040. And on reuse, in the proposal, there is targets linked to the percentage of reusable takeaway packaging. For cold and hot beverages, so coffee cups and soft drinks, et cetera, the proposal is a target of 20% in 2030 and 80% in 2040 but also targets then on other ready prepared food, which will be pizza trays, sushi trays, hamburger trays as well. This is a significant -- if this gets approved, this will be a significant shift versus where we are today and create also significant business opportunities. In addition to EU, there are certain countries that are going ahead and not waiting for EU. France, Germany and Portugal already have legislation in place to support takeaway packaging or reuse takeaway packaging. Also Sweden and Denmark are in the process of launching this kind of legislation. For example, Denmark, is planning to then have an EPR for -- with packaging fees by January 2025. Okay. Let me then go to plastic feedstock. So what is the plastic feedstock about? It is about closing the gap in plastic. And then to close the gap in plastic, what do we need to do? First of all, we need to extract more plastic from the waste; and secondly, we need to be able to sort that plastic into fractions that has such a high purity that it can go into closed loop recycling, meaning that it's used for the same purpose as it was designed for originally. And that is really what our feedstock venture is about. It's about taking post-consumer plastic which today goes into incineration or landfill, sort that into fractions that can then be used within either mechanical or chemical recycling. Before Christmas last year, we announced an investment in a pizza plant in Germany. And this quarter, late May this quarter, we announced a second investment into a sorting facility in Norway to close the loop in Norway. This will be a joint venture between us and Plastretur, the producer organization in Norway, where we will have a 65% stake and a NOK 32 million investment linked to that. The capacity will be 19,000 tonnes, and we will then take consumer -- post-consumer plastic from municipalities in Norway, and this will be Plastretur that is responsible for the sourcing of the material into the JV. This will be operational by or during 2025. And we expect here on the financial returns that it should be in line with our overall financial targets, and we estimate a return on capital employed between 15% and 20%. So very exciting to see that we now have two facilities that are being built and will be up and running within a couple of years to really showcase that this is feasible to close the loop on plastic. Then over to reuse. On the left-hand side here, you will see the resource hierarchy and this is also something that we truly believe in. And for certain application, reuse is a better option than recycling. Our focus on our reuse venture is really takeaway packaging. So it is the coffee cups. It is the hamburger trays, pizza boxes, et cetera. And the concept that we have developed here, how will it work? So the way it will work is that you will go into a coffee shop and you'll buy your coffee in a takeaway cup. You will then pay a deposit on that takeaway cup. You will go out, drink it. And when you finish it, it will be different collection points, for example, throughout the city. Basically, it will be a reverse vending machine that you can then deposit the coffee cup and you will get your money back through that. This then needs to be collected. It needs to be sanitized, sorted, et cetera, and it will go back to the shops. And we have been working now on this solution for more than a year. And what is special with our solution because there are quite a lot of start-ups in this segment that are working on different solutions here. Some of the key elements that are special with our setup and our solution is, first of all, that it is an open system, which means that others can participate in it. We think that is going to be important if you're going to get cities to accept launching these kind of systems. It's the integrity of the system. Here, we're using our experience from deposit system on how do you design this with high integrity because the deposit value will be significant for these kind of takeaway packaging. And then the last one -- or the last one is also about customer convenience and scalability. We know that it's important to have a system that is convenient for the customer and it needs to be scalable. And we were very excited that Aarhus then has selected us to be part of their pilot. So this was announced I guess, a month ago, Aarhus has or Denmark, first of all, has an ambition to really reduce single-use takeaway. Aarhus has an ambition to be a zero waste city. And they launched a tender for the first pilot on this. This will actually be the first pilot on a solution for a city on takeaway systems. And they selected us, and we're very proud to be part of that. So what we'll start with here first is coffee cups. We will place 20 to 30 RVMs around the city in Aarhus and we will manage the whole system, but we will have different suppliers supporting different parts of the process. So very exciting development, and this we will learn a lot from that we will then use to continue developing our reuse venture. That concludes my business update, and I will then hand over to Eva to go through the financials and outlook.
Eva Sagemo: Thank you for that Tove. We are satisfied to have delivered yet another strong top line growth this quarter, a level which is in line with our strategic ambition for the next five years. We have good momentum coming from new and existing markets in Collection. We have good -- continued good market conditions in Recycling, but also good performance in Processed Food. Gross margins continue to improve as expected. We also maintain cost control as increase in OpEx have been planned for, given both business expansion, new business building with Horizon but also ramp-up costs in new Collection markets. So looking at the figures, our revenues on the group level is up 14% currency-adjusted ending at NOK 3.879 billion for the quarter. Collection is up 15%, Recycling 26% and Food 4%, all currency-adjusted. We also have an uplift in the margins from 41.9% last year to 42.5% this year. Our operating expenses is up 21% on the group, and that is more or less in line with the run rate that we indicated in Q1 if we adjust for currency and also general inflation. EBITA ending at NOK 536 million, which gives an EBITA percent of 13.8% in the quarter. Then moving on to TOMRA Collection. This was a very strong quarter in Collection, as Tove mentioned. So revenues are up 15% currency-adjusted, and again to NOK 1.952 billion. We have increased that is mainly driven by new sales in Hungary with approximately NOK 100 million. We have increased sales in Romania, ending at approximately NOK 100 million in the quarter and then also continued good sales in the Netherlands with adding NOK 100 million with the can implementation in that area. The Nordic has also continued to deliver good volumes this quarter. And it's also positive to see that the gross margin improves where price increases continue as in Q1 to compensate for inflation. So gross margins is up from 37.6% last year to 38.9% this year, an uplift from Q1 this year from 38.4%. Operating expenses is up 22% adjusted for currency and is in line with the run rate that we communicated in Q1. EBITA ending at NOK 306 million which gives an EBITA percent of 16%. As there is high activity in the organization preparing for new markets in Collection, our ramp-up cost has increased this quarter. We are now running on a yearly run rate of NOK 250 million for this year comparing to what we had last year of NOK 150 million in the same quarter; and then in Q1, we communicated NOK 200 million as a yearly run rate. So we are up currently running at NOK 250 million as a yearly run rate. Then looking at the TOMRA Recycling, very strong quarter. Revenues up 26% currency-adjusted, ending at NOK 789 million. So as we see the positive momentum has continued in Recycling in all regions, but also in all sorting segments. And the growth has particularly been strong in North America and Asia, as Tove mentioned, and then also in the Waste Sorting segment. And these markets are also contributing to the increase in the order intake, which I will come back to. So gross contribution, gross margins is up from 49.4% to 50.6%, so an uplift also in Recycling and operating expenses up 22% currency-adjusted, ending at NOK 239 million. Also here, we are more or less in line with the run rate communicated last quarter. EBITA ending at NOK 161 million, gives us an EBITA percent of 20%. And then looking at the order intake, it has been good, but more back to normalized level -- growth levels, as we indicated over the last two quarters, ending at 16% currency-adjusted. I want to highlight that this is also good development but more normalized levels as we have anticipated some quarters ago. That ends in a strong and all-time high order backlog of NOK 1.4 billion. And out of that order backlog, we estimate that 60% will go into revenues in Q3. Moving on to Food, we have had good volumes in Food this quarter compared to high comparable same quarter last year. It has been particularly good in processed food and then category potato, which we also saw in Q1. The delay in fresh food has been due to customers being delaying investments due to bad crop harvest and challenging macroeconomic environment. This is also what we see in the declining order intake. We have lower gross margins this quarter compared to last year, due to less favorable product and project mix. So revenues up 4% currency-adjusted, ending at NOK 1.139 billion. Gross margins at 43%, increase in operating expenses of 18.5% currency-adjusted, ending at NOK 369 million, gives an EBITA of NOK 121 million and EBITA percent of 11% and the Food order intake is down 18% compared to same quarter last year, which was a very strong quarter. But a weaker market sentiment results also in an order -- reduced order backlog ending at NOK 1.1 billion. So order intake is down 18% currency-adjusted and backlog is down 28% currency-adjusted for the quarter. Out of the ending backlog at NOK 1.1 billion, we estimate that 80% of that will go into revenues in the coming quarter. Looking at the balance sheet and our cash flow, it is still a strong and healthy balance sheet in TOMRA, and we are up approximately 5% overall adjusted for currency. No major changes except for worth mentioning that our investment in Kezzler of NOK 110 million has been accounted for this quarter. We have paid out dividend of close to -- a bit more than NOK 530 million. As Tove mentioned, our accounts receivable is high due to very strong revenue recognition in June. And then also, we have cautiously built up our inventory for our utilization of our credit facilities, which can be seen in the interest-bearing liability line. Then looking at the cash flow from operations this quarter ending at NOK 41 million, which is significantly down from same quarter last year, but it is explained by the increase in receivables quarter-over-quarter of NOK 605 million, which we assume will come into cash in the next quarter. Equity ratio at 45% and gearing at 1.5x. Financial position. Our weighted average debt maturity ending at 2.6 years. And then we also have available unused credit lines of approximately NOK 663 million. Currency risk and hedging policy. Currency continues to impact our figures as we are reporting in NOK, but we have very limited revenues and expenses in NOK. And as you can see from the overview on the slide on the left corner, we have a lot of revenues and expenses in euros and in U.S. dollar and very limited in NOK. So we are very -- we are exposed to those two currency, in particular. And looking at the graph, we have had a development in average of euro-NOK at 16% and U.S. dollar-NOK at approximately 13.5% compared to same quarter last year. So our figures are highly impacted by the currency fluctuations. And will also continue to be that going forward. And then going to the outlook. And starting with Collection. High activity related to preparation for new markets will be also the case going forward. And looking at the new markets to come or to continue is Romania, Hungary, Ireland and Victoria that is really in the pipeline short term. And what does this mean for TOMRA? We estimate the run rate in Romania to continue at NOK 150 million approximately. We will need to install the remaining 80% of the machines in Hungary according to our contract in Hungary but that will happen in the next half year and then also maybe some going into 2024. Ireland will go live next year. So interesting to see how that will play into role. And also in Victoria, we have one, two regions in that state in Australia and we will start preparing for ramping up that to go live in November. But as this is a throughput market, we will have an investment and then throughput revenue going into the future. So not a lot of revenue expected related to Victoria in 2023. As I said, our ramp-up cost is currently operating at NOK 250 million. And our gross margin is expected to continue to gradually improve as we have seen in this quarter. And we are confident that this will also continue going into the next quarters. Then looking at Recycling. It is a positive momentum still in this market, and we assume it to continue as well. But as we have said, more like normalized, which we define as between 15% and 20% range. We need to remember that 2022 and the first quarter of '23 was at very high levels. The demand for recycled materials is expected to create opportunities even if we have swings in commodity prices as circular economy, it continues to be an important driver for customer expectations, lower requirements but also commitments from the industry on recycled content in their products. And then moving on to Food. As Tove said, we are facing challenges in Food, and we do not expect growth to materialize this year. Because of this, the profitability will be a challenge as we have built for higher growth than we currently experience in this business division. As Tove said, steps are being taken to adjust the cost base and reassess the improvement agenda in Food and we will come back to that in the coming quarters with more information. But I want to highlight that it's no doubt that on the longer term, it is positive because the need for optimization and increased quality and safety requirements create opportunities in this business division. And then worth mentioning, we believe that pricing actions and cost measures are expected to mitigate continued inflation also going forward and that we see a lower risk of sourcing shortages and logistical bottlenecks also going forward into the next quarters. And we will continue to be exposed for currency fluctuations. And with that, we will move into the Q&A.
A - Daniel Sundahl : Thank you, Eva, and thank you, Tove. We will now open up for questions. And I see we have a lot of questions that have come in already. So thank you very much for that. Please keep in mind that there can be a 30 to 60-second delay in the streaming. So if we're slow at seeing your questions coming in, that is the explanation. But I will -- let's start with a few questions that have come in on Collection. And obviously, Scotland has been a hot topic this quarter. And we have Adela Dashian from Jefferies asking, would you be able to give us some more color on the Scottish downsizing decision? Has it already taken place? Or is it planned for the second half of the year? How big of a presence do we have there? And also we have Daniel Haugland asking -- yes, we'll take that afterwards. Let's start with that.
Tove Andersen: We can start here. We have an organization of approximately 40 employees in Scotland as we were ramping up for the start of the deposit system. We are in the process now together with the employees to then execute on the downsizing plan. In these processes, it's always important to do it in a proper way in good collaborations with our people who, of course, are disappointed in this happening, but I have a good understanding of why we need to downsize. So this is ongoing, but it will take some time before we have completed the downsizing as we also need to then look after the contracts we have in place and the discussions that we have with our customers on how to then terminate the operations there.
Daniel Sundahl : And Markus Heiberg at SEB is asking, how should we think about the costs, TOMRA Collection due to -- in Scotland. What should we think about the contracts? Do you expect renegotiation of these? Or what will happen?
Tove Andersen: Yes. So if we talk about cost, I mean, we are quite used to that we are flexing costs up and down linked to go-live dates of deposit markets. We have communicated now that our current run rate on ramp-up costs in Scotland is part of that run rate is NOK 250 million and this is what you should plan for now going forward. And if it changes, we will update you in future quarters. On contracts, here, we had a mix of situations with different customers. So we had frame agreements that were signed, but also we had for certain customers already installed equipment. So of course, we are discussing now customer-by-customer on how to solve it. Prime agreements where it has not been delivered, our expectations that these will be then terminated. And then for where we already have installed the equipment, this is, of course, now a firm contract and deal that has been made with the customers. But at the same time, we want to cooperate with the customers to find good solutions for them because these customers are also our customers in other regions and we want to really find good win-win solutions to make sure that we handle than this disappointing termination or the delay of the Scottish DRS system.
Daniel Sundahl : And moving from Scotland to Ireland, Gaurav Jain at Barclays is asking have you started receiving any orders in Ireland yet?
Tove Andersen: We have limited sales into Ireland for this quarter, but there is a strong commercial activity ongoing.
Daniel Sundahl : And moving over to the frame agreements and the negotiations there. Should we expect sequential margin improvement in Collection from here? And also, we have a follow-up question on that. Should we expect any pushback from clients on price increases given that inflation is moderating globally? That's Aurelio in Morgan Stanley asking that.
Eva Sagemo: Yes. So going into that question with the frame agreement, which has been a pressure point in Collection, we are satisfied to see that we are now seeing uplift in the margins because of the price increases that we have managed to negotiate with our customers. And you would also -- as we have communicated, we will expect that also to gradually improve also coming out of this quarter into the next quarters.
Tove Andersen: And it's never easy to negotiate price increases.
Eva Sagemo: Yes.
Tove Andersen: It was not easy three, six, nine months ago and is still not easy. But what we have shown is that we have been successful to be able to pass on the additional cost to our customers.
Daniel Sundahl : Is it possible to say anything about the cumulative inflation that we still have to compensate for from frame agreements in Collection?
Eva Sagemo: No. So we believe that the gross margin, approximately 1 percentage points is still something that is -- so we still have 1 percentage point to go when it comes to compensating for the inflation that we have seen over the last year. But we are confident that we will be able to lift the margins going forward.
Daniel Sundahl : And then Daniel Haugland at ABG is asking, Tove mentioned Poland moving forward on its DRS ambitions. We have seen some saying 2024 as a potential launch year, which seems quite ambitious in his view. What are your thoughts on launch timeline given it's actually moving forward now?
Tove Andersen: Yes. So first of all, I don't like to speculate on these timelines because there is always a lot of uncertainty. And we will know much more when this has been through the Senate and the final legislation get approved. But in general, what we see is that from a legislation is approved to a go-live, you would minimum need a year. But typically, you would have more than two years.
Daniel Sundahl : Good. And Daniel Haugland is also moving over slightly to Recycling now. But it's another solid quarter for orders in especially Recycling. You expect this to normalize which -- or do you expect this to normalize, which suggests that NOK 900 million Recycling order rate is now normal, which you could grow from. Is that -- how does that resonate with you?
Eva Sagemo: Yes. So I will answer a bit more general on that question. So now we see an order intake growth of 16% currency-adjusted, which is good, but more normalized coming from very high levels in '22 and '23 the first quarter. We expect the order intake to increase between 15% and 20% in the future quarters. But of course, we need to see how that will prolong, but that is our assumptions as of today.
Daniel Sundahl : And I guess, Markus Heiberg has a similar question. Do you think order intake growth will stay at the current level? Or do you expect a further deceleration in the growth rate, that's probably Recycling?
Eva Sagemo: Yes, it's probably Recycling. And I think we have answered that one already.
Tove Andersen: And it's important to say that there might be quarterly variations as well. But our ambition is to double the size of TOMRA in five years. We have said that we expect then actually Recycling to grow a bit more than that, which will mean a 15% CAGR. So we do expect the Recycling to deliver a bit more than a doubling over the next five years.
Daniel Sundahl : And on the topic of some variations, Adela Dashian, Jefferies is asking, are you seeing any signs of cyclical tendencies?
Tove Andersen: Significant share of our revenue in Collection is recurring revenue through service. Also, what we see now on the new growth market, this is really driven by legislation that is in place in EU and other places that are driving that to go forward. If you look at Recycling, you could say that the normalization is partly linked to the macroeconomic environment, and we do see some especially smaller customers delaying investments there. But overall, the sentiment is very strong. And in Recycling, of course, this is driven both by commercial reasons, it's driven by increased consumer demand for circular material, but also legislation then pushing that segment forward.
Daniel Sundahl : And also in Recycling, Stephen Walker is asking, Oceania has grown very well. Is it the Pilbara Minerals deal that is contributing here? Or is that still to come?
Eva Sagemo: So the Pilbara will be taken over in this year. So it's not necessarily specific project that we want to talk about when they come-in in the different quarters as such. But we have said that the Pilbara will come in this year. You will have variations in the quarters. And in Oceania, in Recycling, it's not that high figures. It's a smaller market for Recycling as such compared to our home market, Europe, especially. So when we see this growth in the smaller markets, it can be linked to certain single projects, but we don't necessarily want to comment on specific projects in the regions.
Daniel Sundahl : And moving over to the OpEx line, Markus Heiberg SEB is asking, OpEx increased quarter-over-quarter. How should we think about the Q2 cost base in relation to the full year?
Eva Sagemo: Yes. So we also saw that in Q1, we had increased compared to Q1 last year. But as we said then, we have increased our OpEx and it has been a planned activity because we are building for future growth and also are very active in Collection markets that will come in as new markets. What we see in Q2 is more or less in line with the Q1 run rate when we adjust for currency and inflation. And we will always have variations between quarters, but we stick to the run rate in the OpEx in Collection and Recycling for the year. When it comes to Food, as we said, we will take steps related to the cost base so we need to come back with how that will prolong into the next quarters. So no more information to give on the full year on Food as such.
Daniel Sundahl : And Aurelio Calderon at Morgan Stanley is also asking the NOK 1.1 billion OpEx, are you able to break that down again and the contribution from new markets in Horizon and maybe also the underlying levels by division?
Eva Sagemo: Yes. So on the NOK 1.1 billion, we have done the split per business division in the division slides and also in the over-read at we provide to the market. And then we communicate the run rate in Collection that has increased to NOK 250 million as a yearly run rate. And on Horizon, we currently operate with the same run rate as we communicated in Q1 at NOK 80 million for the year.
Daniel Sundahl : And then we have a question on feedstock plans. And how many feedstock plans will you have by 2027? It’s Timo Heinonen question from Handelsbanken.
Tove Andersen: Yes, that's a good question. As we have communicated before, in this Horizon portfolio, it's really about building new businesses for TOMRA. We have not concluded on what will be our final kind of business model for feedstock. If we -- as you'll see, we have now invested in one plant 100% ourselves. Reason we're doing that is that we wanted speed in that investment. And if you go through with partners, it could delay it. We have then launched another plant now, which is part of a JV cooperation with Plastretur, which is very complementary, where we go together. And we are evaluating different other initiatives in this space. But it could be through us partnering. It could be through us investing ourselves or it could be us providing the sorting as a service or sell machines. So this has not been concluded, but we are maturing our strategic thinking around this very exciting segment, and we will continue to update you on our thinking as we go along.
Daniel Sundahl : And just had a question coming in from Stephen Walker also on feedstock plants. On the new feedstock plants, are there any impacts on the income statement? Or is it all capitalized?
Eva Sagemo: Yes. So currently on the income statement, feedstock is part of the OpEx run rate for Horizon. And then we -- as Tove mentioned, the two commitments that we have done with the two plants. They will be up and running, estimated going into 2025, and we have communicated that the investment to get these plants up and running will happen end of this year and then mostly into 2024. So -- and we have also said that we will communicate when we see that this starts hitting our balance sheet. So we will be fully transparent on that going forward when it materializes.
Daniel Sundahl : And continuing on the strategic level, Gaurav Jain from Barclays is asking, does TOMRA need to get more vertically integrated to capture more of the margin uplift that will happen as the company scales up? Are there any critical components that you'd like to insource?
Tove Andersen: Yes, if I can comment then based on the different divisions. If you look at Collection, currently, our main business is selling reverse vending machines, but we are vertically integrated in the solution that we are providing when this is needed to capture market. Example of that is what we have done in Australia where we're going together with the Cleanaway to then be able to create a full solution for not only giving the collection through RVMs but also the whole logistics linked to it. Beyond that, we don't see any other kind of particular need for vertical integrations in Collection. Recycling, typically, we are selling the equipment. And as far as we see currently, that is where the main margins and value generation is. So we are not ourselves providing integrated solution, but we work very closely with plant builders, with integrators so that we can be part of their integrated solution, if that is what the customer wants. But from a value perspective, we don't see that, that is really required. In Food, this is part of the discussion of Food. First of all, what we've done in Food is that we have changed the go-to-market model where we want to be much more selling direct, where in the past, we have typically used the distributors and agents. And there are certain segments of the Food customers that really want to have an integrated solution that we are currently providing for certain segments through partnership, but this is an ongoing evaluation that we are doing to see if we need to vertically integrate more and if that would make sense. Then on the Horizon, this is actually a very kind of important topic for Horizon because today, for example, when we look at the plastic feedstock, why are we then investing in sorting facilities? And it is because we believe by investing that, we will capture a larger share of the value generation versus that somebody else invested, and we were just providing the equipment because here we're building a whole new market segment. So this is something that is on our agenda that we are looking at constantly in the different divisions and on the new opportunities to really see what is the place that we should play to capture the value, but also then to stay a bit through to what we are good at. So I think that's also a very important element for us in order to do this, is that we should also not venture too far away from what we are good at, and that's also why we typically then partner with others if that is needed to cover a gap in our offering.
Daniel Sundahl : And another strategic question from Andreas Nygård at Kepler Cheuvreux, is a divestment of Food on the one of the several strategic directions you are considering?
Tove Andersen: We are not currently considering divesting Food, but this is something that we are looking on a constant basis. We are constantly looking at our portfolio activities both on the divisions, but also within the divisions on what are the activities that we believe we should keep and if there should be more value-generating opportunities to divest it. But currently, our focus in Food is really to accelerate the improvement program and just now our improvement initiative in line with what we are currently seeing in the market.
Daniel Sundahl : And we have one final question coming in from Stephen Walker, it’s on Collection. And in the EU, 77% of bottles should be recycled. That is not far off but little action seems to be happening in many countries. Can you provide any information to help us understand what is happening there?
Tove Andersen: That's a lot if I need to go through all of them. I partly agree with the statement. I mean you see quite a few countries that are moving forward towards this target, and we'll be ready with deposit system until then. But also you see larger markets like France, Italy, Spain, that currently have not committed or have a clear legislation in place to implement the deposit scheme but there is a lot of activities also happening in these markets. We work very closely or we follow this very closely in all of these countries. We are providing support, advice our competence in this area to support them on the processes. And then we expect over time that all of these countries in EU will need to implement deposit schemes. Based on our experience, you will not reach the 77% without having a deposit scheme and you will definitely not reach 90% in 2029 without implementing a deposit scheme. So yes, we also would like to see this happening a bit faster but it doesn't change our view that over time, we believe that all of these key markets will implement the deposit schemes over the next five to 10 years.
Daniel Sundahl : Thank you very much for that, Eva and Tove. And I think with that, we have come to the conclusion of today's presentation. Next time that we will see you here is on the 20th of October when we release our third quarter results. In the meantime, I wish you a wonderful summer, and thank you for tuning in. Goodbye.